Operator: This call is the property of Wal-Mart Stores Incorporated and intended solely for the use of Wal-Mart shareholders. It should not be reproduced in any way. This call will contain statements that Wal-Mart believes are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, and intended to enjoy the protection of the safe harbor for forward-looking statements provided by that act. These forward-looking statements generally are identified by the use of the words or phrases ‘anticipate’, ‘believe’, ‘could occur’, ‘could pressure’, ‘expect’, ‘forecast’, ‘guidance’, ‘look forward’, ‘may impact’, ‘will be’, ‘will continue’, ‘will pressure’, or ‘plan’, or a variation of one of those words or phrases in those statements. Similarly, descriptions of our objectives, plans, goals, targets or expectations are forward-looking statements as is the guidance that we will provide in this call relating to our anticipated comparable store sales for the current fiscal quarter and our anticipated earnings per share for the current fiscal quarter and for fiscal year 2007. These statements discuss, among other things, expected growth in various categories; the future effect of certain efforts to attract certain types of customers, future increases in certain expense categories, including maintenance expenses, remodeling expenses and the cost of new associate benefit programs in the Wal-Mart stores segment and fuel and utility costs and the effect of those increases; growth in future revenues and earnings of the Sam’s Club segment, future performance including anticipated earnings per share for the second quarter of fiscal year 2007 and for fiscal year 2007; future comp store sales; future improvements in inventory savings and management, future store openings in the United Kingdom, Canada, Central America and China, future sales of food in the Canadian stores, the effect on future results of customers paying higher prices for gasoline and utilities, possible future effect of named wind storms, future expense management; our anticipated tax rate; and, the anticipations and expectations of Wal-Mart and its management as to future occurrences and trends. These forward-looking statements are subject to risks, uncertainties, and other factors domestically and internationally, including the cost of goods, competitive pressures, inflation, consumer spending patterns and debt levels, currency exchange fluctuations, trade restrictions, changes in tariff and freight rates, fluctuations in the cost of gasoline, diesel fuel and other energy, labor and healthcare, accident costs, casualty and other insurance costs, interest rate fluctuations, capital market conditions, geopolitical conditions, weather conditions, storm-related damage to our facilities, regulatory matters and other risks. We discuss certain of these matters more fully in our filings with the SEC, including our most recent annual report on Form 10-K filed with the SEC and the information on this call should be read in conjunction with that annual report on Form 10-K, and together with all our other filings, including current reports on Form 8-K we have made with the SEC through the date of this call. We urge you to consider all of these risks, uncertainties and other factors carefully in evaluating the forward-looking statements we make in this call. As a result of these factors, changes in facts, assumptions not being realized or other circumstances, our actual results may differ materially from historical results or from anticipated results expressed or implied in these forward-looking statements. The forward-looking statements made in this call are made on and as of the date of this call and we undertake no obligation to update these forward-looking statements to reflect subsequent events or circumstances. Reconciliations of certain non-GAAP financial measures discussed in this call are available for review on the investor relations portion of our corporate website at www.walmartstores.com.
Lee Scott, President and Chief Executive Officer of Wal-Mart Stores, Inc.: Good morning and thanks for joining us today. We’re very pleased with our start to this fiscal year. We continue to have record sales and earnings and our inventory performance was the best we have seen in many quarters. Net sales increased more than 12% and our net income increased 6.3%. Our inventory performance is ahead of our plan as we ended the quarter less than 3% up against last year. That included the impact of our recent acquisitions. EPS for the quarter were $0.63 per share, which is above our original estimate. As a reminder, in the prior year quarter, we had a favorable impact of over $0.03 per share. Tom Schoewe will talk more about this. The success of this quarter was a result of our focus on three main goals. Driving sales, reducing costs and improving inventory management. First, we’re driving our sales increase by improving the shopping experience and broadening the appeal of merchandise for our customers. The core of our efforts is the Store of the Community approach. Our Store of the Community program is helping to improve traffic and sales, not just in the United States, but also in many of the 15 other countries where we operate. We’re pleased with changes being made in marketing and advertising as we strive to communicate more directly with our customers. We’re doing a better job of using research to better understand our customers. This is translating into operational and merchandising improvements. Let me again make a very important point about how we are broadening our appeal to customers. We are retaining our loyal opening price point customers through Wal-Mart's everyday low price strategy. We’re working to get the selective customers to buy more merchandise in our stores. We see a lot of value in this approach and we will continue to fine-tune it. We believe these efforts will continue to build momentum. Our second goal is reducing cost. We are leveraging labor costs and looking at opportunities for us to take cost out of operations. Like most companies and suppliers, we are experiencing higher utility prices. These are having an impact this year. We continue to see higher gasoline and utility prices affecting our customers around the world and this could pressure our results as we move into the second quarter. Fortunately we’re able to help because shopping at Wal-Mart saves customers real money. I would point to the independently certified global insight study done last year, which found that we saved the average U.S. household more than $2,300 each year. The study further estimates this equates to savings of more than $260 billion to U.S. consumers this year. Finally, improving inventory management is an important focus throughout the organization. Our initial efforts to clean up extra inventory in our U.S. stores have resulted in an inventory reduction of almost 2%. We believe we have an opportunity to find even more savings through improvements in inventory management and Tom Schoewe will cover this in more detail. How can we accomplish all these goals? It is because we have an outstanding team in place. As you know, we announced the management team changes during the first quarter, all designed to strengthen breadth and depth of experience among my direct reports. Lawrence Jackson now heads up Global Procurement. This is a big opportunity for us as we look to take costs out of the supply chain and pass those savings on to our customers. Susan Chambers who now reports to me, heads up the people division. She is leading our efforts as we make a number of improvements in the workplace for our associates. We are seeing evidence that our associates are responding well to these changes. And we continue to see communities respond well to the opportunity that Wal-Mart provides. We see large applicant to job ratios at stores and clubs because jobs at Wal-Mart and Sam’s Club are valued. Before I turn this over to Mike Duke, Vice Chairman of International, let me just say that we are pleased with international net sales which were up almost 23% for the quarter. Our international results also include the consolidation of our acquisitions at Seiyu, CARHCO, now known as Wal-Mart Central America, and southern Brazil. Mike will now cover the Wal-Mart International highlights. Mike?
Michael Duke, Vice Chairman, Wal-Mart Stores, Inc. (International): Thank you, Lee. I am pleased to join you today to share some of the exciting things happening in Wal-Mart International. I’ve been in this role for seven months now and during this time I’ve been able to visit each of our markets at least once. I’ve enjoyed meeting many of our great Wal-Mart associates and customers around the world. This morning, I want to share observations and strategies with you. I’ll also talk about how we’re leveraging Wal-Mart’s best practices across the world and update you on our recent acquisitions. First, let me say that we have considerable upside in International, as we roll out similar programs to the U.S. that focus on improving customer experience and associate engagement. We’re doing more customer research and implementing changes in marketing, merchandising and operations in a number of markets to better serve the customer. Now let’s talk about Mexico, where we had terrific growth in sales, profit and ROI. Mexico was a great story, demonstrating how multiple formats can reach more customers. Six unique retail formats, plus our restaurants, provide their own special ways of meeting the needs of many types of customers. I’m especially pleased this quarter with our suburbia stores, which provide an appealing mix of apparel and home items. Mexico continues to improve productivity, thus leading to the positive results, which Charles Holley will cover in more detail. Turning to Europe, although the UK is experiencing a soft economy, at ASDA we are seeing the results of many positive changes that the team has implemented based on a clear understanding of customer expectations. These initiatives are focused on improving our fresh food offerings, introducing new items, improving the shopping experience and maintaining our price leadership. Also similar to the US, ADSA is focused on changes in the business to encourage greater traffic and ticket from selective shoppers. For the selective shopper at ASDA, the George brand has been expanded into the Home category. In addition, a new marketing plan has been launched at ASDA with a signature of ‘More for you for less’, demonstrating the broader attributes of the ASDA proposition beyond low prices. With our focus on growth, we plan on opening between 25-30 new stores this year in the UK. We now have six ASDA living stores, which carry our Home and George, apparel offerings and plan on opening additional stores this year. ASDA also launched a concept named ADSA Essentials in March in the city of Northampton. This store is 12,000 gross square feet and is a private label discount store for consumables and food. Our second ASDA Essentials store has just opened up yesterday. We are encouraged by our strategies in the UK. Our customer research already shows favorable reaction from our customers. Germany remains soft. We have yet to see a turn in the retail market and our management team continues to have a strong focus on the customer to drive sales in a difficult economy. Our business in Canada is off to a great start this year. I’m very excited about the first three supercenters, which will open later this year. There are many good competitors in Canada and we look forward to bringing a strong food offering to the Canadian customer. We are leveraging the strong food capability we have in our ASDA and US businesses and we’re applying best practices in our Canadian stores and in the supply chain. We also have Canadian store managers being trained outside of Canada on operating supercenters and preparing for these store openings. In Canada, we plan on opening 20 new stores this year, which includes the supercenter openings. Let’s talk about Asia for a moment, as I know many of you have a great interest on what we’re doing there. In China, we have had store growth of more than 30% this year. We have announced plans to open 18-20 new stores in China in 2006 and our comp sales growth is strong. In Japan, we just took majority ownership of Seiyu in December and immediately we promoted Ed Kolodzieski, who had been our Chief Operating Office of Wal-Mart International, to become the Chief Executive Officer of Seiyu. Ed is already leading significant changes and our main growth focus in 2006 is through major remodels of 65 existing stores. We’re also taking steps to create a more efficient supply chain with the opening of our new distribution center later this year, which will include our latest technologies. In terms of new markets in Asia, many of you have read that in March, I was in India meeting with government officials and touring the market. Like China, India is experiencing a booming economy and has a growing middle class of consumers. In India today, we have a strong sourcing team but no retail presence as foreign direct investment in retail is restricted. We look forward to the government of India continuing to make progress on opening up this sector to foreign investment. Finally, a brief comment on our recent acquisitions in southern Brazil and in Central America. We’re still in the early days but initial results are very promising. In Central America we’ve announced plans to open approximately 53 units. We’re very focused on the integration and I am pleased with the developments thus far. Both of these businesses are ahead of plan. We have a lot of work to do but I’m very encouraged by what I see across our organization and the positive trends we’re beginning to see in the business. Thank you, and now let me turn this over to Tom Schoewe to give you further financial details.
Tom Schoewe, Chief Financial Officer: Thanks, Mike, for that trip around the Wal-Mart world and good morning to all of you, and thanks for joining us here today. Before we go over the results, I wanted to remind you of the changes we made in how we calculate comparative or ‘comp’ store sales. The following changes began this past February. First, sales for stores and clubs are now included in comp store sales in the thirteenth month following their grand opening. Additionally, comparative stores sales will exclude the impact of fuel sales at our Sam’s Club segment. Please refer to our February 2nd 2006 Form 8-K at www.walmartstores.com/investors for further information regarding our comp store sales calculations. Now let’s get behind the numbers in our release. At the very highest level, here’s a summary for our Q1. First, total sales were up 12.3%. Net income increased 6.3%, EPS were $0.63. In addition, U.S. comp store sales were up 3.8% in the quarter. As a reminder, last year’s Q1 included the benefit of two items totaling $145 million after tax, or about $0.03 per share, which related to first, a favorable tax resolution of $77 million and second, $68 million once again after tax, related to a legal accrual. Obviously there were positive developments in that case. Remember, these were favorable to our Q1 numbers last year, making this year’s comparison more difficult. Now, let’s talk about what’s going on this year. First, gross margin. Consolidated gross margin was up 53bps for Q1. All operating segments increased their gross margin in the quarter when compared to last year. These improvements resulted from cleaner inventories and improved merchandise mix. Finally, we saw the benefits of global sourcing. Now let’s work on expenses. The consolidated operating expense percentage for the quarter was up 48bps over the same period last year. This is kind of a good news, bad news story. The good news is that we continue to see improvement in our labor line versus the prior year. The bad news is that we continue to see upward pressure in utilities worldwide. Inventory. Consolidated inventories were up 2.7% against a sales increase of 12.3% for the quarter. You’ve heard us talk about our internal goal of growing inventory at half of the rate of sales and it feels good to have met this goal for Q1. On several occasions, you’ve asked us to quantify the benefits of our inventory improvements. Let me give that a try. One way to describe the situation is to assume that from an inventory turnover standpoint, we had made no progress. So, rather than improving our terms, if we were turning our inventory at last year’s rate, we would actually have had well over $2 billion more invested in inventory. Obviously, the progress we were making in inventory management benefits return on investment. Carol will share with you later our results in other income. Before we cover our performance by segment, let’s talk about one more consolidated income statement item. That’s interest expense. Net interest expense was up 84% for the quarter, or 18bps as a percentage of sales. We expected an increase due to higher interest rates and the debt that we incurred from our Q4 acquisitions that both Lee and Mike touched on. Obviously, interest expense would have been even higher if we had not done such a good job with inventory management. Interest expense will continue to be a head wind for us. Now let’s look at our performance by business segment. In the Wal-Mart division, we’re excited about our operating performance during Q1. Talk about growing operating profit at a rate greater than sales. Our sales increased by almost $4.9 billion or 10.2%. At the same time our operating profit increased by 20.4%. This is the best operating profit increase in six years, and not to be overlooked, we achieved a reduction in inventory of almost 2% from the end of April last year. Comp store sales in the Wal-Mart segment were 3.8% for the quarter. The increase in comp store sales was driven by an increase in average ticket in the quarter, while customer traffic declined just slightly. We were pleased with the overall comp for the quarter, but toward the end of the quarter – that would be April – we clearly saw the impact of rising fuel costs on our customers. Supercenter food sales grew by over 12.5% for Q1 and food comp sales in the Wal-Mart division were up in the mid single digits. Gross margin in the stores increased by over 50bps, due to higher margin rates across all of our merchandising divisions in the quarter. The increase in margin was achieved despite the unfavorable impact of our lower margin food division, growing at a higher rate than the other areas and increased transportation costs. Expenses as a percentage of sales were down slightly from last year. The general productivity improvements we began to see in our stores during Q3 last year are continuing. We achieved a productivity or sales per labor hour increase of around 7% during this first quarter. We achieved these improvements by better matching our associates’ scheduling to customer shopping patterns. However, increased utility expense did partially offset our productivity improvements during the quarter. Looking forward to the rest of the year, we anticipate higher maintenance expense as we begin our store remodel program. There are three things that will pressure our potential savings that we would expect to achieve in wages and the other areas during the next couple of quarters. First, higher remodel expenses. Second, higher utility costs and finally, higher costs from some of our new associate benefit programs. These pressures are included in the company’s guidance, which I will discuss in just a moment. The next topic in the Wal-Mart segment is one that’s gotten a lot of attention recently. That’s inventory. I’m excited to say that we had an overall reduction of almost 2% in inventory over the same period last year. This reduction was accomplished despite our large number of new store openings over the past 12 months. So, how did we achieve the reduction and can it be continued for the rest of the year? In achieving the reduction, we have done a number of things to make inventory management a focus area across all levels of our organization including our suppliers. I’ve said it before, ROI is our priority and inventory management is a key to achieving that goal. Our initiatives fall into three categories. Procurement, logistics and store operations. Some of our specific efforts in the Wal-Mart segment focus on shortening the time from purchase to when merchandise is available to customers in the store. Second, reducing the back-up inventory held in outside warehouses near our stores. By the way, we have been very successful at this during the quarter and currently have inventory in only a handful of outside warehouses. Finally, being more relevant to our customers by improving basic store operations such as eliminating unnecessary manual orders, reducing inventory in the stock rooms and eliminating inventory on risers. Those are the shelves that the customers can’t reach. Just to illustrate, the amount of inventory on risers has decreased 13% from the end of last year’s first quarter. Now I feel the need to deviate a little bit from our prepared script here, because when you think about return on investment, there’s obviously a numerator and a denominator. Reducing inventory obviously positively impacts invested capital for the denominator. The real benefit to return on investment happens in the numerator and specifically what I’m talking about, when you get rid of warehouses, you don’t have to pay that warehouse expense. Secondly, when you don’t have those warehouses, you don’t have to pay the labor to get the inventory to and from those warehouses. You don’t have to worry about damage to the inventory that’s going to and from those warehouses. You reduce your overall level of markdowns and as I’ve already discussed, when you don’t have the inventory, you don’t have the borrowing levels and your interest expense goes down as well. So your takeaway ought to be that the real benefit from this inventory reduction happens in the numerator from return on investment. Now back to the prepared script. The inventory benefits we have achieved from the steps I have just outlined were significant this quarter. Everyone’s now asking what they should expect going forward. Although the improvement may not be at the level that we saw in this past quarter versus last year, we believe we can continue to make improvements in inventory management. There are still benefits to be derived from the current programs that we’re implementing. It’s been exciting to see the progress we have made on inventory in the Wal-Mart segment. Now, let’s move on and talk about Sam’s Club results. Sam’s Clubs grew operating income faster than sales in the quarter. For the quarter just ended, operating income increased 8.1% on a sales increase of 6.8%. Comp sales were up 4.3% for the quarter, which does not include the positive impact of gasoline sales, which would have added another 50bps. Growth in operating income exceeded growth in sales for the quarter due primarily to beneficial sales mix and improved inventory management. Higher membership revenue also contributed to the growth. The margin improvement was partially offset by higher operating expenses. The quarter included a charge related to the recently announced closing of two Sam’s Clubs. Like Wal-Mart, inventory productivity was also a bright spot for Sam’s Club. They ended the quarter with inventory levels up less than half of their sales growth versus last year. Inventories in comp clubs were actually down versus last year’s Q1. Sam’s Club will continue to focus on first being a price leader in the warehouse club industry; secondly accelerating sales growth; and finally growing earnings at a faster rate than sales. Let’s talk about a few more items before our international discussion. Our tax rate for the quarter was 34.0%. The tax rate for the year is now forecast to be between 34-35%. Factors which may impact our annual rate and result in quarterly volatility include changes in our assessment of certain tax matters, renewal of the work opportunity tax credit legislation and the mix of international to domestic income. Without the renewal of the work opportunity tax credit legislation, we believe the tax rate for Q2 will be at the high end of that 34-35% range that I just mentioned. Payables as a percentage of inventories for the corporation were 78.8% and that’s up from 73.1% last year. This improvement was a result of our inventory progress coupled with the international acquisitions. Debt to total capitalization at the end of the quarter, including commercial paper, was 42% compared to 41% at the same time last year. Moving on, our return on assets for the quarter was 8.9% this year and that’s down from 9.4% last year. Approximately 28bps of the reduction were attributable to the consolidation of Seiyu and Wal-Mart Central America and our acquisition in southern Brazil. Return on equity at the end of the quarter was 22.7% this year, that’s down from 23.5% reported for the same period last year. One final item I’d like to discuss is property insurance. As noted in our FY2006 Form 10-K, and as a result of the significant property damage experienced by Wal-Mart and others during last year’s hurricanes, we did expect substantial increases in property insurance premiums and limitations in coverage offered by the insurance markets. The unprecedented magnitude of last year’s losses resulted in the insurance industry re-evaluating its models, tightening underwriting requirements, reducing capacity and obviously significantly increasing premiums. For us, property insurance renewals generally occur around April 1st. The insurance coverage offered to Wal-Mart covering named windstorms – that’s primarily hurricanes and tropical storms – was substantially more limited and higher priced. Accordingly, purchasing third party insurance for named windstorms did not make sense for Wal-Mart. As a result, we are now 100% self-insured for any losses that may result from named windstorms. To give you some context, if we did not have insurance coverage for named windstorms from FY1997 through FY2004, our EPS for these years would not have been significantly impacted. However, with the unprecedented named windstorm activity and damage in FY2005 and FY2006, if we had not had named windstorm coverage, EPS would have been impacted by $0.02 and $0.04 respectively. Based on current estimates for named windstorm activity, it is likely we will incur some amount of losses resulting from named windstorms this year. However, we’re unable to predict either the number of storms that could impact our facilities or the extent of losses that might result. I’d also like to point out that we’re taking additional steps operationally to help mitigate any losses. Those would include how we move merchandise from distribution centers to our stores as needed. With that, what I’d like to do now is turn it over to Charles Holley, our Senior Vice President of Finance, to chat about International. Charles?
Charles Holley Jr., Senior Vice President of Finance: Thanks, Tom. International sales for Q1 were $17.3 billion, up 22.9% versus last year. This includes the acquisition in southern Brazil, and the consolidation of Seiyu and Wal-Mart Central America. Sales from these entities contributed over 15 percentage points of increase in international sales. The strongest sales performance in the quarter came from Argentina, Mexico, China and Brazil. The Q1 impact of currency valuation on sales was a negative $16 million, driven by weakening of the British pound and euro against the dollar, partially offset by the strength of the Brazilian Real, Canadian Dollar and Mexican Peso. Operating profits for the quarter were ahead of plan at $713 million. That is up 6.9% versus last year. Operating profit lagged sales growth due to the dilutive impact of recent acquisitions. Gross margin gains in the quarter came from a favorable merchandise mix and markdown reductions. There was not a significant impact from currency on the first quarter operating profits. Now let’s go on to the highlights by country. Wal-Mart Mexico’s Q1 results followed the positive trend of last year’s results. Operating income and EBIT – earnings before interest and taxes – grew faster than sales when compared to the same period last year. Total sales for Q1 were up 12.9% in real terms, which is adjusted for inflation over last year’s level, and operating income in real terms was up 29% versus last year’s Q1. The increase in real comp store sales during the quarter was 3.8%. In Mexico, we saw an increase in average ticket of 3% in nominal terms for Q1 compared to the same period last year. Operating expenses in Mexico for Q1 grew 8% while revenues grew at 12.9%, both in real terms. This was quite an accomplishment if you consider Walmex had 13 openings during Q1. Also in Mexico, average inventory per store decreased 3%. Our expansion program is progressing according to plan. We had new store openings for all formats and six out of the 13 new stores were opened in new cities for Wal-Mart Mexico. As we continue to add new stores, our returns have continued to improve. In Canada, total sales increased in the mid double digits during Q1, while comp sales grew in the mid single digits. Operating profit grew faster than sales and sales and profit were both ahead of plan. Canadian sales were strongest in Home, Seasonal House-wares, Appliances and Food. We also managed to reduce inventories at the store level, which resulted in three days less inventory compared to last year. Let’s move on to the UK. For Q1, ASDA sales increased around the mid single digit range, with comp store sales slightly down versus last year’s quarter. Profit fell slightly versus Q1. As Mike has already mentioned, the UK market continues to be soft. However, we continue to be encouraged by the direction ADSA is headed in spite of a difficult economy. Turning now to Puerto Rico, sales were up in the low single digits for the quarter. Comp sales were below last year, impacted by lower consumption trends. Puerto Rico is experiencing an economic downturn as the result of the recent spike in fuel and energy prices. This, coupled with government expense reduction programs and potential sales tax implementation in the near future are challenges to the balance of the year. Puerto Rico’s profits were short of plan but in line with the prior year period, despite the difficult economy. In Brazil, sales were ahead of plan with comps in the low single digits. The newly acquired southern Brazil locations had an overall sales increase in the low double digits in the quarter, versus last year, and sales and profits were ahead of plan. Brazil’s operating profit in Q1 was above plan due to better than expected sales and good cost control. We continue to be pleased with the momentum of our operations in Brazil. In February, we increased our ownership in Central America retail holding company CARHCO to 51% from the 33.3% previously acquired in September of 2005. We refer to these stores as Wal-Mart Central America. Approximately one month of operations has been consolidated in the Q1 results. Sales and profit were in line with expectations. Quickly, let’s review operations in Asia. In China, comps grew in the low double-digits for the quarter. Sales and profit were slightly below plan for the quarter but significantly above last year, and Japan, although the economy has been difficult, we are encouraged by our progress to date. March marked the fifth consecutive month that we achieved positive comps. In Q1, Seiyu reported a positive 2.1% comp, that is the first quarter in the last 10 years that Seiyu has reported a positive comp increase. Gross margin pressures were partially offset by an expense reduction, driving profits slightly lower than planned. Now I’d like to turn it over to Carol Schumacher, our Vice President of Investor Relations. Carol?
Carol Schumacher, Vice President Investor Relations: Thank you, Charles. I want to cover another area that continues to grow. Net other income was up almost 11% for Q1. We saw improvements in several areas, including first, increases in our financial services revenues. This includes money transfers, money orders, payroll check cashing services and our extended warranty program on electronics in Wal-Mart stores. Membership fee income also improved in the quarter, as Tom already mentioned. Remember that membership income is the single largest component of other income. As you recall, the membership fees for Sam’s Club business and advantage members increased by $5, effective January 1st 2006. Recognition of membership income is amortized over the 12-month life of the membership. Let’s now talk about our growth in stores for the quarter. These numbers are based on our fiscal quarter ended April 30th, 2006. I’ll start with the locations in the U.S. First, in our discount store category, we opened two new stores and we ended the quarter with square footage of 121.7 million square feet. Our discount store total count is now 1,183 locations. Among our supercenter category, we added 14 new stores and relocated or expanded 28. We ended the quarter with 378.2 million square feet and we now have 2,022 supercenter locations. This quarter we added four new neighborhood markets and we ended the quarter with 4.4 million square feet. We now have 104 neighborhood markets. We added one Sam’s Club location and we expanded or relocated one as well. We ended the quarter with 73.6 million square feet and there are now 568 Sam’s Clubs. Our total U.S. store count is 3,877 locations with square footage totaling approximately 577.8 million square feet. Let me move on to international. This quarter we added 35 new stores and we relocated or expanded two. We ended the quarter with 193.4 million square feet. Internationally, we now have 2,679 locations. The international store count and square footage total also includes Wal-Mart Central America. These numbers do not include the Mexico VIPS(?) franchised restaurants. Now, let’s go back to Tom, who has some additional closing comments.
Tom Schoewe: Thanks a lot, Carol. Now let’s move on and discuss our outlook for Q2 and for the full year for FY2007. For Q2, we expect the comp store sales increase in the U.S. to be between 2-4%. As Lee mentioned earlier, we continue to see higher gasoline and utility prices affecting our customers around the world. This could pressure our results as we move into Q2. That said, we expect EPS for Q2 to come in between $0.70-0.74, reflective of this concern. For the year, we are comfortable with keeping our forecast for EPS at $2.88-2.95 per share. As always, we’ll be available to answer your questions. We’d like to thank you for your interest in Wal-Mart and that’s from all of us. Thanks much, and have just a great day.